Operator: Good afternoon. My name is Rob, and I will be your conference operator today. At this time, I would like to welcome everyone to Virgin Galactic’s First Quarter 2021 Earnings Conference Call.  Hosting today’s conference will be Seth Zaslow, Vice President, of Investor Relations. As a reminder, today’s call is being recorded. I would now like to turn the conference over to Mr. Zaslow. Please go ahead.
Seth Zaslow: Thank you, and good afternoon, everyone. Welcome to Virgin Galactic’s First Quarter 2021 Earnings Conference Call. On the call with me today are Michael Colglazier, Chief Executive Officer; Mike Moses, President of Space Missions and Safety; Swami Iyer, President of Aerospace Systems; and Doug Ahrens, Chief Financial Officer. Following our prepared remarks we open the call for questions. Our press release was issued about 45 minutes ago and is available on our Investor Relations website, as is the slide presentation that will accompany today’s remarks. Let me refer you to Slide 2 of the presentation, which contains our Safe Harbor disclaimer. During today’s call, we may make certain forward-looking statements. These statements are based on current expectations and assumptions and as a result are subject to risks and uncertainties. Many factors could cause actual events to differ materially from the forward-looking statements made on this call. For more information about these risks and uncertainties, please refer to the Risk Factors section of Virgin Galactic’s second amendment to its Annual Report on Form 10-K filed with the Securities and Exchange Commission and other documents filed by Virgin Galactic from time to time. Readers are cautioned not to put undue reliance on forward-looking statements and the company specifically disclaims any obligation to update the forward-looking statements that may be discussed during this call. Please also note that we will refer to certain non-GAAP financial information on today’s call. You can find reconciliations of the non-GAAP financial measures to the most comparable GAAP measures in our earnings press release. With that, I’d now like to turn the call over to Michael.
Michael Colglazier: Thanks, Seth, and good afternoon, everyone. I hope you are all doing well. As part of my plan to execute on our strategy to grow and scale the business, I brought in some exceptional talent in key areas. Doug Ahrens is our new CFO, and Swami Iyer is our new head of aerospace systems. Doug has extensive experience as a public company CFO, with companies in complex technology and manufacturing environments. Doug's leadership and relational skills, and his expertise in capital markets, and M&A will be incredibly valuable as we expand and monetize the business. Swami joined Virgin Galactic in March to lead the team responsible for building and designing our current and future fleet of vehicles. Swami brings great depth and expertise in business expansion, while also having the deep process and production orientation necessary to lead our aerospace teams as we build out commercial operations. We're incredibly pleased to have them both onboard.
Mike Moses: Thanks, Michael. Moving to slide 6. Before I discuss the steps we've taken over the past two months, it would be helpful to provide background on the testing program and modifications we have made to the spaceship over the past year. As you know, our testing program is designed to be a process of continuous improvement. We have test objectives that we target with every flight, and each one of them is an opportunity to gather data, to improve performance and move our spaceflight program forward.
Michael Colglazier: Thanks Mike. our spaceship Unity is currently in pre-flight procedures following the successful resolution to the EMI challenge. Unity requires our mothership to carry it on the first stage of our spaceflight. And with this late breaking maintenance evaluation, we will report back to the market next week with an update on schedule implications to our next flight.
Swami Iyer : Thanks, Michael. Turning to slide 8. I am excited about the opportunity to join Virgin Galactic with the expansion of the fleet. I have been on board for about 45 days. During that time I've gone and seen all the facilities. I spent significant time walking the production floor and engaging with members of the team at every level, and I've been impressed with the talent and technical expertise in the organization. One of the things that drew me to the company was as a requisite development and skills efforts the company is entering into are ones that are natural fit with my experience as a test pilot and leading aerospace manufacturing companies. So for me personally, Virgin Galactic provides me the unique opportunity to truly exercise all of my operations experience and tools to support the business and the team.  Additionally, the safety flight test manufacturing and engineering cultures I have observed at this company are an aggregation of the best practices from across the leading companies in the global aerospace ecosystem. Other than due in no small part to the DNA of our aircraft base spaceflight solution, which draws from a deep and broad base of 120 years of aircraft development, which in my mind provides significant safety, engineering and manufacturing advantage and scaling up into a robust repeatable and reliable spaceflight. And Virgin Galactic the elegance of the design, the experience of the team, and the evolution of the technology provides the right conditions at the right time to scale in the human comes first to spaceflight.
Michael Colglazier: Thanks Swami. Alright, turning to slide 9. As we progress towards commercialization, we plan to create a comprehensive multi day consumer journey on the shoulders of our 90 minutes spaceflight experience. Our goal is to ensure that the memory of the spaceflight lasts the lifetime. We believe our experience and approach will be distinct in the marketplace. We're also developing our customer brand architecture and marketing strategy. We intend to leverage the unique strengths of the Virgin brand to create a bespoke experience. We'll have more to share on this area of our business as we move forward. I'd now like to turn the call over to Doug for financial update. 
Doug Ahrens: Thanks, Michael. And good afternoon, everyone. I'm pleased to be here with all of you today for my first Virgin Galactic earnings call. It's now been two months since I joined the company. Having had some time to observe and listen, I'm even more excited about the opportunity and the team of talented individuals within the organization. I am also looking forward to working with all of you in the investment community. Turning to slide 10. Before I review the financial results for the quarter, I wanted to begin with a few comments on our broader financial strategy. As we look to prepare and subsequently scale our fleet for commercial service, we're also positioning the organization for the launch of our consumer brand and experience. We're using these operational objectives to inform our financial planning. We're pleased that our total number of future private astronauts remain steady and approximately 600 as of the end of Q1. As we've disclosed, we plan to reopen sales for a private astronaut market around the time of the flight with Richard Branson. By reopening sales, we intend to satisfy a portion of the consumer demand with our expanding fleet size. We currently expect to have a sales funnel open for a limited period of time and plan to add a finite number of incremental members to our private astronaut community. With this approach, we'll look to build an appropriate backlog relative to the pace of our overall fleet expansion. Our goal is to address some of the consumer demand for our service while maintaining appealing price point for the experience and an appropriate time horizon for flight for our private astronauts. We have not yet released updated pricing for our private astronaut market. We have however, established current pricing for microgravity research and private astronaut training markets. As we've previously discussed, we have a flight planned in partnership with the Italian Air Force that will demonstrate our capabilities for these markets. We expect this flight to generate $2 million of revenue, or the equivalent of $500,000 per seat. On a per seat equivalent we're now entering into agreement at $600,000 per seat. We think these are excellent results for our introduction to the market. We're quite excited about this market and the pricing dynamics we're seeing for this portion of our business. Let's review our results for the first quarter on slide 11. Since there were no flights in the quarter, we didn't generate any revenue. As we previously disclosed in response to recent guidance issued by the SEC we revised our accounting treatment for warrants issued in connection with the company going public in 2019. In the first quarter of this year, the new treatment resulted in a $49 million non cash expense related to the change in fair value of warrants, compared to a non cash expense of $317 million in the prior year period. Net loss for the first quarter was $130 million, compared to a loss of $377 million in the first quarter of 2020. The decrease in net loss was attributable to the change in the fair value of warrants. Notably, less than 10% of the originally issued warrants currently remain outstanding. Adjusted EBITDA was negative $56 million, compared to negative $53 million in the prior year period. Total operating expenses were $81 million, compared to $61 million in the prior year period. The increase in GAAP expenses was attributable to an increase in non cash stock based compensation expenses adjusted to exclude stock based compensation expenses were $59 million, compared to $56 million in the prior year period. Turning to capital allocation on slide 12. In the first quarter, free cash flow was a use of $50 million, compared to use of $60 million in the first quarter of 2020. The decrease was primarily due to lower capital expenditures and favorable working capital dynamics. CapEx was $1 million in the quarter compared to $4 million in the prior year period. Looking ahead, we anticipate second quarter free cash flow of approximately negative $60 million. Importantly, our balance sheet remains strong. We remain well capitalized with cash and cash equivalents of $617 million as of the end of the first quarter. As we've discussed, our business plan calls for the expansion of our fleet, as well as the build out of our consumer experience. We plan to use a combination of cash on hand as well as future inflows of capital to fund our strategic objectives. Historically, we've looked to take advantage of favorable market conditions to raise capital for business. Going forward we'll continue to evaluate opportunities to access the capital markets to grow and scale our business. I'd like to now hand the call back to Michael.
Michael Colglazier: Thanks, Doug. All right, turning to slide 13. Before moving to Q&A, I want to take a moment to thank our entire team who have been working diligently on our strategic objections. Just to restate our focus remains on the following three areas; the readiness, fleet expansion, and the development of the customer experience. Operator, I think we are now ready to begin the Q&A portion of the call.
Operator: Thank you.  Your first question comes from a line of Robert Spingarn from Credit Suisse. Your line is open. 
Robert Spingarn: Hi, good afternoon, Michael. Hey, Michael, a just a question about the market and the two players. So both Galactic and Blue Origin are now approaching commercial service and they may send up a passenger as soon as July if they stay on target. And it sounds like you'll update us on your schedule next week. How important are your relative schedules, especially from a future order capture perspective?
Michael Colglazier: Sure. One, as I've shared before, we're really excited to have multiple people, basically, paving new territory for human spaceflight and being able to take private citizens into space. This is something that I think most of us in the world would not have guessed, even a few years ago that this is going to happen our lifetimes. And yet, here it is upon us. So I think it's really important, that Blue have great success, that we will have great success because it will normalize the idea of human spaceflight to the market. And I think the more people that are able to go up and get this perspective back on the planet, the more their voices are going to come back, and just inspire to engage other people and add more pressure into the market overall. So we're very excited for them. To your question on just the timing matter, I think we have a company that's been built over years and decades as does Blue. And so while I think there will be great media attention around both moments when we are going up into space, I don't think it matters to our business overall.
Robert Spingarn: Okay and then just a quick one for Doug. On the cash burn that you just talked about. How does it progress beyond Q2? So how do we see 60 million evolving beyond Q2 from a quarterly burnt perspective? And is there a minimum cash balance, at which point you'd want to return to the capital markets?
Doug Ahrens: Thanks for the question. So we haven't given specific guidance, on a long term cash burn. But there are multiple dynamics in play to think about. The first one is cash inflows, as we reopen ticket sales, we will get those cash inflows coming in. Plus, as we approach commercial service will collect the remainder of those, that revenue for those flights. And on the other side, as we expand our manufacturing capacity we'll see an increase in CapEx as we scale the business and build out our fleet. So you have those two things working together. And then as we ramp up to high volume production you get a nice economic model with a good flow through because we have what we expect to be a low variable cost strategy. So you would have nice flow through the revenue to the bottom line. So with all of that, we haven't put a minimum cash amount out there, but certainly want to have all the flexibility to grow and scale the business as needed.
Robert Spingarn: Okay, thanks, Doug. Thanks, Michael.
Michael Colglazier: Thanks Rob. 
Operator: Your next question comes from the line of Myles Walton from UBS. Your line is open.
Myles Walton: I was wondering if I could ask Mike Moses to maybe elaborate a little bit more on the maintenance issue discovered on Eve last week. If that was an issue that was pre-existing on the checklist to do during the downtime of fall and was it one of the larger items to do or one of the smaller items to do? And then maybe for Michael, on the back of that with this as sort of a single point clearly a single point in the critical path to flight. How does it make you think about maybe having to pull forward CapEx on the White Knight to second one.
Mike Moses: Thanks Myles. So the item we found on Eve, maybe let me just give some context of how those protocols and that maintenance program is established, which is actually very common in aerospace systems. We have a series of inspections and preventative maintenance tasks that are designed to kind of track and maintain the vehicles and look at them not only in the instance of the next flight or the next several, but also looking at their lifetime, and their ongoing health. And as with all complex systems, we have scheduled periods to allow for those modifications and upgrades that would be necessary. And as we previously said, and as you're alluding to, we had a flight one plan for this fall with Eve and our other vehicles. So those inspections, let us determine whether those modifications in the schedule for that is on track and valid and react to anything unexpected. So after the pair of last flight that we did last week, for pilot training, we did flag an issue that was on our calendar to be addressed later in the fall. But that requires some further assessment that just basically double check is that still a valid plan or do we need to potentially accelerate and address that items sooner than later. So that's the type of thing we're looking at. And I guess I'll just say the difference between this as a flight test program and issues where we do we fly, we inspect, we monitor, we adapt versus the regular cadence that you would had to in a commercial service program. That is one of those things that that aren't coming modification period was specifically meant to address is move the vehicles into that point.
Michael Colglazier: Right. And Myles you're talking about the potential pull forward CapEx on a second ship. What I'd say is, we are very excited to grow the fleet. And as we've mentioned, we have started the programs both for spaceship three, we had our first unveiling of our first unit of spaceship three, VSS Imagine, back in March. But also we've initiated the program what we're calling the Delta Classes spaceships, which would be more of a production model, I would say, going forward. At the same time, we have initiated the program development for a new mothership because as we scale up to the volumes we need, we'll definitely need more motherships. So this kind of maintenance topic that we kind of had pop up on us at the end of last week, and that we're going to sort through and come back to you all with update on the market, we'll do that next week. This maintenance piece is going to really impact the timing of our second mothership program, that's often going. It is in the early design stage which is relatively low financial expenditures as you're aware. And I think it'll stay in that design phase for a little while until we settle on where we're going. So I don't think it changes our plan going forward Myles but it does just to kind of re emphasize we have programs kicked off both on new motherships as well as spaceships going forward.
Myles Walton: Okay, and Mike I guess just to comeback per second just to clarify, you don't know if you'll have to do the issue. You're still evaluating whether or not that will have to be done. Is that correct?
Michael Colglazier: Yes. Correct Myles. So we are pretty late breaking in that we found a deal. The inspections we were doing after our last flight, which was Tuesday of last week. And so that totally wrapped that up. We've done some extra inspections and we're kind of in the middle of analysis now. We'll be able to make a determination here pretty soon. And we'll get back to you all next week with a market update as Michael said.
Myles Walton: Thanks so much.
Michael Colglazier: Thanks, Myles. 
Operator: Your next question comes from a line of Adam Jonas from Morgan Stanley. Your line is open.
Adam Jonas: Hey, everybody, just one simple clarification on the deposits. Can you remind us how large the deposit is as a percentage of the seats on the spaceflight? I didn't know if there was prior disclosure on that, or one we could kind of think about within a range for when you reopen the funnel.
Michael Colglazier: I don't believe we put prior disclosure on the size of the deposits. We have the prior disclosure out that the price varies a little from moment to moment, generally our last price point out was $250,000 per seat, I guess, if you will, and we have shared that we do expect that price will be going higher when we are able to reopen sales up. So that I think has been closed. I don't think we've talked about the scale of the deposits yet.
Adam Jonas: Okay. that's fine, Michael. And just a second one for me. You mentioned that once you do the third flight, the two pilots and Richard Branson that you would then make the move towards commercial service. Can you help us because that moment seems very important, I would imagine for both OpEx and CapEx and can you help dimension that for us and what one could think about this preliminary stage of modeling that point between the third flight and then that path to commercial. Also in terms of what kind of gap or what order of magnitude of gap are we talking months, quarters between the Richard flight and the first non-Richard with a commercial flight. Thanks.
Michael Colglazier: Sure. Let me take a shot at it and feel free to come back if I didn't quite catch the question perfectly. So let me go back to what we'd shared kind of at our last quarterly update, which is we planned to be having our next flight going in May and we had then two more flights following kind of one with an internal crew, and one with Sir Richard Branson. We shared we expected those to go in the summer. And then we have a fourth test flight that we talked about, that will be a revenue producing flight with the Italian Air Force. And we thought that would be in late summer, early fall. And that's what we talked about on the last earnings call. And we're looking forward to coming back here next week and giving an update to that, as Mike Moses just shared. We're in flight test. We flagged a maintenance topic. And so we'll sort that out and come back to the market with an update on more specifically for you all there. Now as to your question of well what happens as you then move into commercial service. As we shared on the last call, following the flight that we planned with the Italian Air Force, kind of our fourth test flight, we have a period of time, we estimated I think at that point at about four months is what our estimates are and we will be lining up basically upgrades and modifications to each of the three ships that we have active right now. So Eve, which we've talked about a little bit today has some upgrades and modifications that have been planned as well as Unity, and both even Unity upgrades, modifications are to help give them I'll call it more reliability of predicting flight cadence as we shift those ships into commercial service. We also will be then doing updates on the first of our spaceship three vehicles, VSS Imagine and making the modifications there as we go from fly flight testing, and then begin preparing for power flight testing following these modification periods. So following that kind of period of modification and upgrade Adam is when we would move into commercial service, and we'll start commercial service with spaceship Unity and Eve. So that will start I'd say on a managed basis as we move through those kind of one flight at a time. So I don't think you'll see a giant uptick in OpEx at that standpoint. That's going to come more as we scaled the fleet over time. But you will see different categories of OpEx because we'll be bringing in our astronauts into the area around Spaceport America and actually flying them and hosting them. So I think it will be more modest uptick in OpEx at that point relative to revenues that you would be seeing there.
Adam Jonas: Appreciate for the color Michael. Thanks.
Michael Colglazier: Thanks, Adam. 
Operator: Your next question comes from a line of Ron Epstein from Bank of America. Your line is open. Again Ron Epstein from Bank of America.
Ron Epstein: Yes, sorry about that. I was on mute.
Michael Colglazier: Hi Ron.
Ron Epstein: Back in February, you guys gave us an indicator that there was maybe a hair under the prospect pool got through a hair under 1000 potential votes. Do you have any sense on is there any incremental measure on incremental that was February of 2020 actually, any incremental interest, I mean how can you share with us any incremental demand, anything like that, because, again, in the relationship there 600 astronauts, it's been 600 for a while, just trying to get a sense for, growth in demand for you guys.
Michael Colglazier: Sure. And one thing I kind of like there, it has been 600 for a while. And we think that's because there's great excitement for this. So we haven't shared guidance on where demand will go. What Doug was talking about today, is we want to continue to keep an overhang basically kind of build a book of demand that runs in advance of our spaceship fleet capacity. Obviously, we have 600 and we have an inter commercial service yet so that overhang of demand has been going for a while. But as we begin commercial service, as we then move our second spaceship Imagine into commercial service as it completes its flight test program, and so forth with further ships, we plan to basically continue to build that overhang going forward. So there is always demand pressure against it. We believe there is going to be really great demand. I think you look at the excitement all around the human spaceflight concept and you see it in multiple players in the market. I think you're going to see it as we mentioned, with Blue's launch coming up, we think this is going to be fantastic and that the initial people that come back from these spaceflights will be just so raving that that will continue to further demand going forward. What we also talked about, and what Doug was mentioning today is we're very excited about the demand for also microgravity research as well as training for professional astronauts. And what we did share today is price points that we've been seeing on the initial flights of those that we are encouraged by -- because that's going to be an important slice of our capacity and the slices of our market. So we're very confident and robust feeling on the demand. But we haven't released any specifics for you here.
Ron Epstein: Got it and then with the pricing question, sort of the next one, next direction, I want to go a little bit. Do you have a sense for your pricing vis-à-vis your competitors. So if I'm going to fly on a trip on Blue, versus a trip on you guys, is it comparably priced, is it more expensive or you are more expensive? Do you guys have any sense of that?
Michael Colglazier: So to my knowledge, Blue Origin has not released pricing either. I think what they're doing is, as I understand putting out effectively an auction for one seat on their first flight, and I think that's exciting, I honestly, but it will be a pretty high price. If I had to guess. And I think that will add excitement, I'm sure Blue will take advantage of it. And I think that's really great because it will show just how amazing this opportunity is going to be. I'm not sure where Blue will settle their prices out yet. We'll see how that plays out over time. What I know we will do is ensure that the value that we deliver to the people who come fly with us, and the value we deliver to the researchers that fly with us and the astronauts who train with us is going to be so outstanding I don't think the price points that we charge as we launch our commercial business will be the topic it will be how can I get a seat. And so that's really the goal for our company is ensuring the value is there and we feel really strongly about that.
Ron Epstein: And maybe just one last more technical question if I may. With the EMI issue that's popped up, and then the post flight inspection issue that might be an issue, it raises the question just around fleet reliability. How are you thinking about that as you ramp up commercial labs, because of the cadence of launches goes quicker and the utilization of the assets will be more. And maybe one of the things I worry about is just will the assets be robust enough to execute the plan that you want them to, the way you want them to?
Michael Colglazier: Thanks for asking that question. It's an important one. And I'd like to call out what is a difference between a flight test program and commercial operations. In a flight test program, one, every time we fly we are looking to gain new data, take that data, analyze it, compare it against our models, and kind of confirm that we are on the right path and ready for the next flight test or, we're going to make some modifications based on the data analysis that we have. And the essence of that flight test program which is not unique piece for Virgin Galactic that's all flight test programs, has variability in its schedule along the way. And we're making adjustments after each of these tests going forward. Now what we talked about today with Eve, our mothership is really a question of planned maintenance schedules. And we're trying to come back to you and confirm are we going to maintain doing this our planned maintenance schedule, which we said was going to be in October. We're going to go forward or pull that forward. We're going to come back and talk to you about that next week. But then, if I could shift the concept from fight test which is what we're doing now into commercial operations. Commercial operations require much more robustness and predictability and how we fly our ships. So one of the reasons we have this down period with Eve our mothership and Unity in the fall is to make some modifications that will let the flight rates on those be more predictable. As you've heard us discuss our spaceship three class with VSS Imagine is the first of those, the very purpose modular design, the very purposeful inclusion of all the learnings that we've had from Unity have gone into the design and manufacturing those spaceships intentionally to allow for greater predictability and to kind of reach I call it a return time, once we fly, how quickly do we fly again. And what we're talking about what the Delta classes spaceships is, when we basically locked all that profile down and now you're basically building a production model. And you've got kind of ongoing consistency and repetition in the way our operations work. So you're accurately calling out commercial operations will be more reliable and repeatable. I just like to emphasize we are in flight test, and this is what you should expect to see in flight test. I think it's somewhat unique that flight test is happening in a pre-revenue public company and so that's why we often have these calls, which is good. But that's important information to share. And I appreciate you bringing that topic up.
Ron Epstein: Thank you.
Operator: Your next question comes from a line of Doug Harned from Bernstein. Your line is open. 
Doug Harned: Thank you, good evening. When you think about going through these four flights, the  three upcoming and then the test one with the Italian one. So you go to that next one, say four months. What things are you looking for to be confident to where you want to be? I mean, if we go back to kind of that 2017/19 timeframe, some of those flights that were completed, they had some issues. What do you need to see here? In other words, how kind of issue free do you need to be to be confident you're ready to go?
Doug Ahrens: Sure. Hi, Doug, by the way, excellent question. So let's talk about this upcoming flight. The next one we do. As Mike talked about we have new controllers in that will give more precise handling on the flight control surfaces as we go. We've tested those in glide flight with great results, meaning we can test them, we do kind of some high speed runs and pull back. But we do need to test those out under a powered flight. And so the next fight we have with just the two pilots is really to prove that out. We have great confidence from what we've seen in the system, but we want to see it operate under a powered flight. That is I will call a technical test that we're looking for. And as always we do on all of our powered flights, we will continue to evaluate just the overall performance of the ships and how the experience looks across it. So then let's go to the next flight with a full crew of mission specialists in the back. The new piece of information for that flight is we've got full crew people in the back and how is the experience for those folks in the back? How do their movements around the cabin? How did they want to kind of find where the views are and the great pieces there? What are the kind of pressures that all the people experienced? Are they what we expect them to be? We will also kind of confirm that what we saw on the prior flight, the first one with the two pilots is repeating, because you want to see kind of repetition and consistency there. But the first one has a technical piece we're looking for. The second one is consistency of that same technical piece as well as now the four cabins and back. The next two are rinse and repeat isn't necessarily what an aerospace term would be. But that's generally what we're doing. Okay, let's do it again. And this time, we wanted Richard to come in as our founder and kind of chief adventure and say, okay, is this what I've been envisioning all the way along here and add kind of that flavor and that feedback into the overall experience. And we think that will be an excellent way to demonstrate what the private astronauts flight will be and we intend to kind of make some noise about that as we go forward. And then the fourth flight again we're still basically repeating the same test objectives on the others just getting repetition under our belt. The fourth flight will then be purposely to do testing around our other two markets, microgravity research and professional astronaut training. There's some things that we'll adapt on our ground operations. There is some things that we will adapt about how the ship performs in space to focus on what the researchers need. So we'll adapt that and also use that as our demonstration flight. So that's kind of what we're looking at each stage and at each one of those stages, we will look for generally consistency and what we saw there, but we won't be looking necessarily for something new. 
Doug Harned: I guess two things, I'm just trying to picture a bit a few questions that have gone around this. But for instance, Eve is I believe, about 13 years old at this stage. You've now got the spaceship three coming out, which is great. So you've got these assets. How I mean, how long lived do you expect them to be? I'm thinking both just in terms of what anomalies you might be looking for on the test flights as well as just the aging of these aircraft in very different environments than we've seen for in most, for most other types of aircraft?
Michael Colglazier: Sure. I'll start out and gentlemen feel free to kick in. So Eve, and I don't recall the exact days, but let's go with 13 years, as you said, is not flown a lot. It's not like it's a commercial airliner flying back and forth every day putting flight hours on it at that time. So its number of flight hours I'd say are reasonably modest as far as airframes go. Eve is important to make sure that as we move into commercial service that it has gone through some updates and modifications that will allow it to fly with consistent cadence. That's really what we're looking to do there so that we're not kind of looking on a flight by flight basis and making sure we're ready that we've got good predictability. We need people to be able to plan their trips to us and things like that. So I think that's kind of a normal evolution for Eve from a flight test program there. I'll let Mike or Swami comment on age, but I would kind of highlight from an hour's basis, it's still fairly low use, I guess, compared to a normal airframe.
Mike Moses: Yes, that's correct. It's its first flight was in 2008. And the last flight we just flew was number 293. So from an airframe perspective from an airliner or anything like that we still kind of be probably in the break in period. So we don't put a lot of time or cycles even though the profile we fly is certainly a unique one. And I think in terms of its life expectancy a composite aircraft by definition really has some advantages over an aluminum framed aircraft when it comes to lifetime. But it's certainly something that still needs to be monitored and addressed which is what we're talking about when we talk about these ongoing maintenance inspection cycles. We have an engineering based assessment as to what that life would be, how parts will wear and fatigue over time, and the wear and tear that they'll see. And we're monitoring along the way to see if that is on schedule, ahead of schedule, behind schedule, so we can adjust our program so that we don't want to do too much maintenance or you can cause problems if you over correct and over examine the plane, you don't want to be on this side either, where you're doing too little. And so this is this ongoing, continuous feedback improvement maintenance monitoring program, and we'll have the same on our spaceships, as well as the motherships. But in terms of lifetime while we put them through a unique environment, we don't really put that many actual hours on. And that's all part of the design basis. And then as we talked about the next class, the Delta class, and next mothership will be able to take those lessons learned upfront, and you hit the ground running even faster with those new models that come on. 
Doug Harned: Okay, great. Thank you. 
Michael Colglazier: Thanks Doug. 
Operator: Your next question comes from Noah Poponak from Goldman Sachs. Your line is open. 
Noah Poponak: Hello, good evening, everybody.
Michael Colglazier: Hey, how are you? 
Noah Poponak: I'm doing well. How are you? 
Michael Colglazier: Good. 
Noah Poponak: Can you just specify what the maintenance issue is? What specifically needs to be addressed? 
Michael Colglazier: Yes. So specifically we're looking at what we call a basically a fatigue or stress items. So like we were just talking about in terms of lifetime and health there is a couple of issues that we want to track and make sure that we see how the vehicle ages over time and how we address that. And basically, it's pretty common to all aircraft systems. We monitor these items and we regularly evaluate the update. So we have plans in place to track these issues, follow these items along and in some cases, like we've already identified here, do some modifications this fall. But what we flagged right now recently is we want to go double check that maintenance schedule based on the recent observations to make sure we don't need to do something earlier than that. So that's basically we're looking at a family of items that relate to fatigue and long term stress. 
Noah Poponak: So in simple terms you just want to make sure it's not fatigued or stressed enough that it doesn't need to be addressed before flying again. 
Michael Colglazier: Yes. Exactly. That's a great way to simplify. So fatigue and wear and tear is a natural thing. Every item, whether it's an airplane, or a spaceship, or whatever it is, follows that and you have a predictive model of when those things reach a place where you need to either refurbish, repair, upgrade and do preventive maintenance. And so this is a check to see that the schedule that we had predicted is still valid and that we don't need to do it in an accelerated manner. If we determined we will that's exactly what we're going to go do all until at the end of the day safe dispatch and safe flight is our number one priority. But that's the purpose of taking this extra time right now before we set up like date.
Noah Poponak: What's the reasonable amount of time it would normally take to address any similar fatigue or stress issues such as this. 
Michael Colglazier: One in terms of analyzing and assessing it, I think we're probably on a very short timescale, just given that we flew on Tuesday of last week and the inspections that we did involve a combination. So let me talk just a little bit about those inspections. They're a combination of visual inspections using video whether it's a camera or a borescope, into small places. And then scan techniques, non destructive inspection techniques using falsetto, ultrasound, resonance scans, things like that, that allow you to kind of non destructively look through the skin like you would go to the doctor and get an MRI or an X-ray. And so we use a combination of those two techniques. Those results give you an image map that you then have to kind of not only look at the absolute value, but do a relative comparison to the last time you scanned and you're looking for comparison. So that takes on the order of a week or so to gather the data, analyze it, plug it back into our model, turn it around and get an answer. So that's why unfortunately, the timing of this flight last week and the earnings call today didn't give us quite enough time to get to that final answer which is why we'll come and give an update next week.
Noah Poponak: And what about performing the actual maintenance?
Michael Colglazier: For that, I think a little too early in the path to decide what that is. We know what we were planning to do this fall. And part of this will be assessing how much of that either needs to be done early or do we partially do part of that upgrade.
Noah Poponak: Okay. 
Operator: Your next question comes from a line of Oliver Chen from Cowen. Your line is open.
Oliver Chen: Thank you. Good afternoon. Regarding FAA approvals how did the ones that you need intersect with the flight test program? Also regarding your brand and the brand architecture that you're innovating towards and what are your thoughts on what might be important from an architecture point of view and how, from a consumer point of view, you'll set yourself apart? Thank you.
Michael Colglazier: So I'll take the FAA one and Mike kind of kick in case I miss something. But we have two remaining provisos on our commercial license with the FAA. As we said before, fundamentally we will look to this next flight we do. We need to have just a nice complete flight that goes to space. And we gather all the data around that. And as well as kind of some of the data that happens in the cabin itself, that's there. And we'll turn that data set into the FAA. They know the data set that they need, we know what it is, they know we're going to turn it in and then it will be in the FAA hands to turn it back around. But we expect to get that data on the next flight. We do need to get to space to complete that data set and so that's really the only thing in front of us right now. So we expect to do that after this next flight. Now as to the consumer brand and brand architecture, we will come back with a very robust overview of how we are going to establish our place in space. Because I think it will be very unique to Virgin Galactic and what we're doing here. But in broad strokes, we are focused on the experience that we will be providing to our astronauts. This is going to be incredibly transformational, and the moments that will be spent weightless. Even though we have kind of a 90 minute flight profile, even though we've got this kind of great way of kicking off with our horizontal takeoff and horizontal landing, and the flight to space up will be exhilarating. The moments in weightlessness, the moments looking back to the earth, across the course of a lifetime are relatively fleeting. And so we will be taking a point of view that says how do we prepare these astronauts such that they are so ready to take in the emotion of that moment that the memory becomes so strong, and so core, that they can't help but share that for the rest of their lives. There is a lot of art and science that will go behind the work that we do in this both at our consumer brand positioning, the way we talk about ourselves, the way we market ourselves and the actual experience that we will deliver. And we're looking forward to kind of bringing that forward. I think you'll see us talk most about that in the area around the Richard Branson flight. We think that's the appropriate time to bring that to the market. But it will be very unique. Other people will go to space and we're excited for them. But we're very confident in our place in space and how we will deliver and we think it will be sustainably differentiated.
Oliver Chen: Thank you very helpful, and I know we'll get into update next week, but as you articulate reevaluating the launch timing of that first test flight, asked in another way, what are some of the parameters like within your control and some of the parameters not as well within your control that you're analyzing right now for the launch timing of the first flight?
Michael Colglazier: Sure, I'll take a shot at this, and Mike may kick in here. I think we'd run off the facts. So that's generally what's going on. So as Mike said, we have planned maintenance cycles, planned enhancements cycles. We've announced one, this will be in October, we also then do your routine maintenance inspections and routine daily maintenance on ships after they fly. And the way we evaluate these things is based upon basically the data analysis of what we see on the various components of the ships. So we have a whole team of quality assurance technicians, they're fantastic. And they look over the ship. That data rolls into our engineering team that compares that data against our expectations. If the data matches our expectations, we move forward. If the data says, you need to make kind of a maintenance repair piece here, then we do that. And so I don't mean to not answer that what's in your control or not. It's all in our control based upon the facts that we see. And then we go forward with safety as our guiding principle, and then just practical business of maintaining aircraft and airframes and spaceships over time. Mike, anything you'd want to add there? 
Mike Moses: Yes Michael, I think you've hit that. Well, we definitely follow a rationale and a decision process that is very factual based on the data leads us to where we go. So things like double checking, what if those assumptions are wrong? Is the problem bounded? Do we have a good physics based understanding of the model we're using to make these predictions? Is it grounded in test? All of that comes into play. So along there, we have some variability in the rigor of standard, which we apply against, and we can choose to put in a fix that we know is going to last this lifetime, versus one that says, just get us to the mod cycle, we have plant. So there's a little bit of variability there. But really, at the end of the day, the safe and reliable and repeatable flights is where we're really going to head. So yes. I don't think I have much to say that what's in our control and not in our control from short and long term choices. But the facts will be what they are and that will drive our decision pretty straightforward.
Oliver Chen: Thank you, Rob. Thank you.
Michael Colglazier: Rob why don't we take one last question, please.
Operator: Certainly. Our final question comes from a line of Pete Skibitski from Alembic Global. Your line is open.
Pete Skibitskis: Yes. Good afternoon, everyone. Hi, how are you? Just one question for me, guys. We've talked a lot about the kind of the spaceship manufacturing and upgrade cadence on the call here. But I'm wondering if you could maybe take it down a level for us to kind of think about in 2022/2023, as you're ramping in your flights the spaceship gives us a certain amount of time. But I think the plan is to basically reload the rocket every time with new propellant. And so it seems like that's going to be kind of a high volume maybe the highest volume kind of aspect to the manufacturing and flight process. So can you talk about how you're kind of retiring risk on that aspect of the program just because it seems like there is not that many people out there that are going to go through that many rocket cases and propellant as you guys plan to. But I just love your thoughts on that from the program.
Michael Colglazier: Sure as I often do, I will start this one and look over Mike and Swami feel free to kick in. the propulsion system, I'll use that that we have is a hybrid rocket motor propulsion system that has been evaluated extremely thoroughly and we are very confident in its robustness. It includes a tank where liquid nitrogen oxygen is used as an oxidizer against a basically a solid motor. And that's how we do our burn. The part that is replaced after each flight is the motor itself. And we have really great quality and confirmation that we like the configuration that we're using, what the real opportunity for us is as we move from going through flight test and move and scale up to commercial operations we can shift our manufacturing environment because we know what this looks like, we've got a configuration settled and basically move that into a factory setting and bring the cost down. So our goal forward basis on this while we will always continue to kind of evaluate and improve our propulsion systems fundamentally we're looking, in this case, to shift more to a factory mode to drive down the cost of that particular item that we use. Mike or Swami anything you'd like to add into that.
Swami Iyer: No, just since I've come in, I've sat down with a team and gone through the each of the different  of rocket motors strategy rescale, look at the bill of materials and the supply base, and where we're going to have conversations about how we bring that together from an outsourcing strategy and from like construction and management strategies. What that really means is that we're fairly vertically integrated when we build these things. Now we're looking at what kind of position in the factory want for scale and that's it to the curve of commercial flights we intend to have over the next few years. But I put in a high emphasis on supplier quality, supplier role  first pass yield on those products. They're going to come to us assembly techniques and then driving out the per unit COGs of each of the rocket motors. Once we get into that position I'll get a sense of how I would optimize that. But the best strategy is prepared fairly well. I'm just diving in to make sure that it's appropriate to the industry and we're picking the right partners and so it's actually probably the most mature going forward that I would have expected from here. Firstly, what I've seen now is just making sure we get the right suppliers the right deals to make OpEx going for something we want.
Pete Skibitskis: Okay, thanks for the color guys.
Operator: And this concludes Q&A session, Mr. Michael Colglazier, I turn the call back over to you for some closing comments. 
Michael Colglazier: Hey, thank you all for joining today's call. Thanks for the questions we had and for those who joined in to listen. We appreciate your continued interest and support. And we look forward to updating you on our flight status next week. So for today, thanks very much. Come back to you shortly.
Operator: And this does conclude today's conference call. Thank you for participating. You may now disconnect.